Operator: Good afternoon, ladies and gentlemen. Thank you for holding. Welcome to Dyadic International’s December 31, 2016 Financial Results Conference Call. At this time, all participants are in a listen-only mode. My name is Tom and I will be your conference coordinator today. As a reminder, please note that this call is being recorded. At this time I would like to introduce your host for today's call, Tom Dubinski, Dyadic's Vice President and Chief Financial Officer. Please go ahead sir.
Tom Dubinski: Thank you, Tom. Good afternoon and thank you for joining today's conference call to discuss Dyadic's results for the year ended December 31, 2016, which were reported in the press release issued earlier today. The press release and Dyadic's annual report had been posted to both the Dyadic and the OTC Markets websites. I'm joined today by Dyadic's President and Chief Executive Officer, Mark Emalfarb, and Dr. Ronen Tchelet, VP of Research & Business Development. On today's call Mark will cover operating highlights, further details on our corporate strategy and business development, and comment on the settlement of our last professional liability lawsuit against former law firm Greenberg Traurig. Dr. Tchelet will discuss some of our research programs as well as progress to date in some of these programs, and I will close with a review of our financial results in more detail. We will then provide you with an opportunity to ask questions. Each caller will be allowed one question and one follow-up question in order to provide all callers an opportunity to participate. If time permits, the operator will allow additional questions from those who have already spoken. Before we begin, we would like to remind you that certain commentary made in this conference call may be forward-looking statements, which involve risks and uncertainties that could cause Dyadic's actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by these forward-looking statements. Dyadic expressly disclaims any intent or obligation to update any forward-looking statements except as required by law. I will now turn the call over to our President and CEO, Mark Emalfarb.
Mark Emalfarb: Thank you, Tom. Good evening everyone. I believe we've accomplished a great deal since we successfully transitioned our industrial enzyme business to Dupont in April 2016. In less than a year we have developed meaningful interest in the C1 technology from half of the top ten global biopharmaceutical companies and a great many more across the bioscience sector. We've executed confidentiality agreements and in certain cases we've entered into material transfer agreements allowing C1 to be more widely tested in a research setting and under certain control standards. In December 2016 the company started an initial small research program with one of the world's largest pharmaceutical companies to demonstrate the potential of the C1 technology to produce glycosylated therapeutic protein. This research project is being carried out and conducted at VTT, Finland which we had previously announced in the third quarter of 2016. In the first quarter of 2017 we received an upfront payment of $125,000 for this research project with a future payment in the same amount upon completion. Collaboration proof of concept projects help defray some of our research expenses as we continue to develop and demonstrate the potential of our C1 technology for use in developing and manufacturing biologics. We are hopeful that through the results of this project along with the data being generated from our internal research programs, we will be able to develop a more meaningful relationship with this pharmaceutical company as well as others. Additionally we anticipate entering into one more third party funded research programs collaborations with at least one other top ten pharmaceutical company in the second quarter. We are receiving favorable responses from our targeted business development efforts with tier 1 and tier 2 biopharma companies who are interested in evaluating how C1 may help them speed up the development, production and performance of biologic vaccines and drugs at flexible commercial scales. It is not uncommon for these companies to insist that these arrangements not be made public. We intend to announce any programs, collaborations we enter into, however, we will most likely be prohibited from disclosing the name of the company. We will always respect these terms as we continue to develop these strategic relationships. We haven't really missed a beat in our business development efforts since we last reported our Q3 progress. Matthew Jones, Ronen and I continue to pursue research and development collaboration, licensing arrangements and other commercial opportunities to further leverage the C1 technology and raise its profile by attending, speaking and making numerous presentations to the biopharmaceutical industry at various conferences as well as holding business development and scientific partnering meetings with interested parties within industry and government. We have also held workshops and brought potential partners and collaborators onsite to our CRO facilities, present both our CRO’s and C1’s capabilities to potential collaborators. We continue to highlight the vast potential to further develop our C1 technology, including strain and manufacturing process development into a safe and efficient expression system that may help speed up the development, production and performance of biologic vaccines and drugs at flexible commercial scales. The company has updated its website and marketing materials and presentations to appropriately message, promote and detail C1’s attributes, capabilities and fit for biopharmaceutical pharmaceutical applications. These efforts have resulted in the company securing at least 20 confidential disclosure agreements, CDAs to date which has led to a variety of potential collaboration and research deal discussions with a number of top global biopharmaceutical companies. We are very pleased that we were able to have Dr. Arin Bose join our board. Dr. Bose is well known and very respected in the biopharmaceutical space. Since joining the board, Dr Bose has been active in helping guide our research and business development efforts as we move into the biopharmaceutical market. Additionally we’ve retained the consultant Matt Jones with previous experience in licenses for the biopharmaceutical industry to help us drive our business development efforts. Both of these individuals are outstanding additions to our team. Importantly as we sold off our Dutch Research Centre to DuPont we needed to establish flexible arrangements on how to carry out our research and development efforts. In September 2016 we entered into a multi-year research and development agreement with a third party research organization to further advance our C1 technology platform for use in biopharmaceutical development and production. This research collaboration is targeting the development of highly productive C1 strains in fermentation processes and the accompanying associated molecular tools to produce a number of targeted therapeutic proteins for Dyadic as well as for potential third party biotech and biopharmaceutical companies. Currently this research program is on or slightly ahead of schedule in its objectives and milestones. Ronen will talk more about this research later in the call. Under our agreement with DuPont we have the right but not the obligation to carry out research at our former Dyadic Netherlands Research Center and we have been doing so as we continue to participate in and carry out research in expressing antigens within the EU’s ZAPI research collaboration and in our own internal research projects where we are working on expressing ranibizumab, a biosimilar version of Lucentis and insulin. Ronen will talk about these programs as well later in this call. In addition to the ongoing research at DuPont and a multi-year CRO R&D agreement previously discussed, we are evaluating and anticipate entering into a research and development agreement by the end of the second quarter of 2017 by making an equity investment in and funding contract research with a group whose scientists and business development personnel have extensive prior experience working on C1 technology. This research group also has experience in the development and commercialization of vaccines as well as previously heading both C1 recombinant DNA and fermentation development work. The additional work we anticipate to be carried out by this group will include CGMP media coupled with fermentation optimization work to further improve higher yielding vaccines, antibodies and therapeutic proteins. Dr. Bose, Matthew and Ronen have been onsite to facilitate and evaluate how best to implement this strategic investment. The primary rationale for this investment includes the acceleration of certain proof of concept research and data generation which can be utilized to support our business development and licensing efforts. This investment will also provide the company and our potential collaborators with additional access to experienced C1 scientists for cloning and expressing genes of interest and in developing the associated C1 GMP fermentation processes. We anticipate identifying at least one animal health or human biopharmaceutical product candidate through the research carried out with this group. We also anticipate potentially licensing these product candidates to third parties either on our own or conjunction with his research group. The total investment with this research group is expected to be approximately $2 million, including an equity investment of $1 million and a twenty-four month contract research service agreement of a total of another $1 million. Further we believe that this will allow us to apply for EU and other government grants that can help partially cover the cost of our research programs as we further accelerate and advance the C1 technology platform and animal health or human biopharmaceutical product candidate. Additionally, we have three small research collaborations covering the expression of vaccines and antibodies for animal and human health and C1 fermentation process optimization. The first collaboration is with AlomaBio [ph], an Israeli company who are working on expressing a recombinant vaccine against a specific poultry virus. If this project is ultimately successful it may provide us with some preliminary data to help us potentially begin to enter into the animal health market. The second collaboration is with a small San Francisco based biotech company whose goal is to validate C1’s ability to express novel antibodies. The success of this collaboration may enable C1 production host to enter into a new potential area of post classical monoclonal antibodies. The third collaboration is with the University of Iowa Center for Biocatalysis and Bioprocessing. One of the initial goals of this collaboration is to demonstrate new and improved C1 fermentation methods using continuous bioprocess monitoring. Ronen will provide additional details on some of our specific research and development efforts later in this call. We are extremely optimistic about our future and our ability to create value for our shareholders, driving our own research and development programs and through collaboration agreements with big and small biotech and biopharmaceutical companies. The bottom line is that the research programs we are targeting and that we have embarked upon are carried out in order to further develop and demonstrate the utility of the C1 technology platform for the biopharmaceutical industry for their use and developing and manufacturing biologic vaccines and drugs. Through these research efforts we hope to create exponential value for our shareholders. I'm very pleased to report that our professional liability litigation is behind us. On March 1, 2017 as we announced that we reached a confidential settlement with the last remaining defendant law firm Greenberg Traurig LLP and Greenberg Traurig PA in our ongoing professional liability litigation. We expect that the mid seven figure payment to receive by the company in early Q2 2017. The settlement has been disclosed as a subsequent event in the company's financial results reported today for the year ended December 31, 2016 and the proceeds of this confidential settlement will be reported in the consolidated statement of operations upon receipt of the payment likely in the second quarter of 2017. We were hopeful of getting a much larger settlement for our shareholders. However as a result of several unfavorable technical legal rulings our damage claims were dramatically reduced by the court forcing us to make the prudent decision to settle and to avoid exposing the company to potential defendants’ legal fees and other costs. At 12/31/2016 we had $50.5 million in cash and securities. In addition we expected to receive approximately $7.4 million from the Dupont sale escrow on July 1, 2017. In addition, the mid seven-figure litigation settlement in Q2 2017. Even after repurchasing approximately $19 million of our shares back through February 15, 2017 we are very well capitalized. We have rededicated our focus and resources on further developing our C1 technology into a safe and efficient expression system that may help speed up the development, production and performance of biologic vaccines and drugs at flexible commercial scale. On December 7, 2016 a special meeting of Dyadic shareholders, Dyadic shareholders approved a proposal to amend Dyadic’s restated certificate of incorporation to effect a reverse stock split of the company’s issued and outstanding shares of common stock at a ratio between one for every two and one for every four and effective upon a date in each case to be determined by the company's board of directors. The reverse stock split, if effected, may among other things increase the price per share of the company's common stock to potentially enable the company to meet the minimum price requirement for a potential listing on the NASDAQ or another National Stock Exchange. Dyadic’s board of directors has the discretion to implement the reverse stock split at any time prior to December 6, 2017 or abandon the reverse stock split if it determines that implementing the reverse stock split is not in the best interest of Dyadic and its shareholders. The decision to uplist is not only dependent on our stock price and market capitalization, it’s also based on a variety of other factors such as having an adequate level of shares and a public float after the 12.4 million shares repurchased by the company. In my view it's all about the value of the C1 technology which based on our current share price and market is not ascribed any value to. So far we have demonstrated we are able to express biologically active vaccines and antibodies using our C1 technology. However we need to generate additional data and getting that data to more of the value of C1 is what we are laser focused on obtaining. Accordingly our board has decided to defer the decision of whether to effect a reverse stock split and a potential NASDAQ up-listing until the second half of the year to allow the company’s science and business development efforts to further develop. If the science develops as we expect we will reassess our strategic alternatives which could include continuing to build the business organically, entering into licenses of the C1 technology and M&A transaction or the outright sale of the business. We are in an enviable position as we do not need any additional capital to fund our R&D efforts, enabling us to avoid the significant cost and distraction of an uplisting which would otherwise be required to raise funding for our strategic scientific programs. While we strongly believe our C1 technology has the potential to help bring biologic drug to market faster in greater volumes at lower cost, have new properties to drug developers and manufacturers and hopefully improve accessing cost to patients and the health care system but most importantly save lives. Our effort to monetize our technology will not be open ended. We anticipate by the end of 2018 or early 2019, if not sooner, we should be in a position to determine how successful efforts are and what we expect and what we will determine are our alternatives at that point. We successfully completed our share buyback program on February 15, 2017. In addition we acquired two separate large blocks of stock in January 2016 and in January 2017. Combined to date we acquired 12,364,322 shares at an average weighted price per share of $1.54 for an aggregate purchase price of $18,972,828. We currently have 28,703,168 shares outstanding. Tom will provide more details on these transactions later in the call. At this point, I'd like to turn the call over to Dr Ronen Tchelet, our Vice President of Research and Business Development to discuss some of our ongoing programs and discuss a few of our internal research and development goals.
Ronen Tchelet: Thank you, Mark. During the many years of developing the C1 technology Dyadic scientists achieved two main breakthroughs. The first: developing a high yield low viscosity production capability with C1 strains; and the second, developing what we call the C1 white strain that can express and produce high levels of proteins from genes derived from different organisms with high purity. We believe that by continuing our ongoing research effort, we may achieve additional scientific and commercially relevant breakthroughs with C1 which we anticipate will be a leap forward in gene expression technology that has the potential to change the way in which both animal health and human biotech and pharmaceutical companies bring their biologic vaccines and drug to market faster in greater volume at lower cost and with newer beneficial properties. As we announced on September 7, and as Mark discussed earlier, we have entered into a research and development agreement with one of the most skilled filamentous fungal research institute to further engineer our proprietary C1 fungus strains for use in helping in development and production of biopharmaceutical products. The goal of the collaboration is to develop a highly productive C1 strain and fermentation processes accompanying cooperating associated molecular tools to produce a number of targeted therapeutic proteins for Dyadic as well as those specified by third party biotech and pharmaceutical companies. In addition we intend to initiate the glyco engineering of C1 strains using advanced molecular tools that will allow for the production of proteins that will resemble the human glyco structure. This approach is aiming to create the right platform that can be applied to diverse biopharmaceutical product types such as biosimilars that include protein for which specific glycol structures are not needed for their mode of action, and two, proteins including monoclonal antibodies that are agonists that require specific glycosylation pattern for their mode of action. We are making excellent progress with this research collaboration. We have already successfully completed the technology transfer of C1 and the institute R&D team has ambitiously started the research and development work toward reaching our goals, objectives and milestones. This research collaboration is an addition to our ongoing R&D collaboration with DuPont, our former Dyadic Nederland Lab. Again we believe that increasing our investment in developing the C1 technology platform and the funding of our internal product portfolio will accelerate our timeline to penetrate into both animal health and human biotech and pharmaceutical companies. In order to leverage this effort, we are in discussions with and in certain cases in negotiations with, other biotech groups to develop additional biopharmaceutical products. I will now provide you with a brief overview covering some of our ongoing project, ZAPI. We continue our participation in the exciting EU funded ZAPI vaccination program. ZAPI is a research and development program sponsored by the EU which aims to develop a suitable platform for the rapid development and production of vaccines and protocols to fast track registration of product developed to epidemic zoonotic diseases that have the potential to affect the human population. Some of the benefits we anticipate coming from successful outcome, if the C1 antigens are used throughout the ZAPI project will be additional performance and safety data which we would expect to help us in our efforts to gather the C1 expression system for use in developing and manufacturing recombinant vaccines for the animal health and human pharmaceutical industry. Our Dutch subsidiary Dyadic Nederland BV is participating in the ZAPI project by using the DuPont Research Center as a CRO. We are following the product timeline to express sufficient quantities of desired antigens using the C1 expression system. The first express antigens samples were already sent to other ZAPI participants for further cultivation of the C1 antigens and for conducting immunogenicity tests. We anticipate that the preliminary result of the immunogenicity testing will be available sometime during the next two quarters. In addition we are continuing our efforts to develop better effective C1 strains and more efficient improved still-fermentation processes so that one or more of the ZAPI antigens will be able to be produced at relatively high productivity yield veterinary vaccine research program. The company is continuing our collaboration between the Israeli company which is a part of the bigger project they have with a veterinary vaccine company to develop a veterinary vaccine to protect poultry. It has been reported to us that this potentially veterinary vaccine was expressed using our C1 technology and currently we are evaluating the expression level and likelihood of commercial availability to decide if it justifies further development. The purpose of this project is to reach expression level using the C1 technology that will enable those companies to evaluate the expressed protein by an in-vivo challenge test in chicks. If the collaboration is successful we anticipate identifying a commercial partner for this vaccine who may be able to penetrate the market for poultry veterinary vaccines. Lucentis. This research program is aiming to evaluate the use of our C1 technology to develop imperative therapeutic proteins for which specific glyco structures are not needed for their mode of action. Lucentis can be. used for the treatment of retinal diseases and has achieved approximately $4.5 billion in 2014 global sales through IMS Health. Since the aging population continues to grow in both developed and undeveloped countries, there is a growing need to improve access to these important medicines and therapies to more people around the world faster, in greater volumes and at lower cost. We believe that producing biosimilars or bio vectors such as Ranibizumab by using the C1 technology can potentially create a differentiated platform approach as an effective alternative in the emerging biosimilar global market as it becomes increasingly competitive. We are very encouraged by the fact that we already have managed to reach mid single digit company to expression levels of Lucentis using different constructs in C1 strains. The structure of Lucentis was identified by MS analysis and the biological activity was evaluated by ELISA tests. We are continuing our optimization efforts to increase the expression level by a second round of transformation and by optimizing the still-plan fermentation process. Since we have previously reported that we have successfully expressed active Humira using C1 this recent ranibizumab result provides additional data that support our belief that C1 could serve as a very powerful platform for the development and production of intact and active monoclonal antibodies, proteins with the correct structure and high production levels. Insulin -- we are continuing to carry out our research in aiming to successfully express insulin using the C1 technology by using different construct and approaches and unlike Lucentis, we have not yet achieved positive results from our research program. Our research analysis indicated that the expression of insulin may be affected by proto lipid activity and we are currently in the process of identifying the relevant proteases. And if and when they are identified we need to explore what effort it will require to knock out the protease genes and what direction to take in our insulin research program. According to the market research paper published by MarketsandMarkets, the global human insulin market is estimated to reach $42 billion by 2019 at a compound annual growth rate of 12.5% from 2014 to 2019. According to the International Medical Federation, an umbrella organization of over 230 national diabetes associations in 170 countries and territories, the insulin market is expected to continue to grow as the human people diagnosed with diabetes globally is estimated at 387 million and is expected to increase to 592 million by 2035. The underlying causes for the increasing number of diabetic patients worldwide include an aging population that increases the incidence of diabetes, growing obesity due to changing lifestyles, expanded health care intervention and to expand use of pen and inhalation devices that deliver human insulin more efficiently and effectively. The insulin market is sizeable. So our focus and interest in the area remains important. However there are a variety of scientific and other challenges that we will have to overcome to do so. We recognize the challenges of bringing a low cost effective insulin product to market at its risk and we are reviewing whether to continue our insulin program, and if so, for how long and what resources to apply to it. This summarizes our current activities and as Mark pointed out earlier we are in various stages of discussions and negotiations with a variety of other large and small animal health and human biotech and pharmaceutical companies who seem interested in exploring the potential of how C1 may be able to help bring their biological vaccines and drugs to market faster in greater volumes at lower cost and with newer beneficial properties. We are clearly building momentum, we have assembled a superb research team to deliver on the program plans and a clear sight to our goals on what to do and how to do it. I'm excited by the opportunities we have and this is further supported by what we hear back from the biopharmaceutical community for C1. I will now turn it over to Tom Dubinski, our chief financial officer to discuss the financial results.
Tom Dubinski: Thank you, Ronen. At December 31, 2016 cash, cash equivalents and investment grade securities including interest receivable at December 31, 2016 was approximately $50.5 million, compared to $68.6 million at December 31, 2015. Cash and cash equivalents do not include the $7.4 million of cash held in escrow in connection with the DuPont transaction which we anticipate will be released on July 1, 2017 or the payment of the mid seven-figure settlement of the lawsuit which is expected to be received at the beginning of Q2 2017. Cash used in the year ended December 31, 2016 of approximately $61.7 million primarily reflects stock repurchases net of stock issuances of approximately $13.1 million, purchase of investment grade securities at face value net of repayments and maturities of approximately $42.6 million and cash used in operating activities of approximately $6 million which includes cash used in operations of $4.7 million payment of DuPont related transaction costs, of $2 million premium and interest paid on investment grade securities, 700,000 -- litigation costs of $700,000 offset by cash received from the litigation settlement of $2.1 million. Net loss from continuing operations for the year ended was approximately $3.6 million or $0.10 per basic and diluted share compared to a net loss of $1.5 million or $0.04 per basic and diluted share for the same period a year ago. Research and development revenue from continuing operations for the year ended December 31, 2016 increased to approximately $593,000 compared to $316,000 for the year ended 2015. The revenue increase principally reflects the conclusion of our R&D agreement with Sanofi Pasteur. For the year ended December 31, 2016 the company recorded a $437,000 loss provision for contracts in connection with two collaboration agreements where anticipated contract costs are expected to exceed anticipated contract revenues. The reported loss will be accreted into the statement of operations over the term of the contracts. General and administrative expenses for the year ended December 31, 2016 increased 19% to approximately $4,562,000 compared to $3,838,000 for the year ended December 31, 2015. The increase principally reflects litigation costs for trial preparation began on January 6 of $653,000, new employment agreements for executives of $489,000, non-cash stock compensation in connection with the special committee of the board and board compensation changes of $300,000, biopharmaceutical business development costs of $214,000 and financial reporting costs of $207,000. This is partially offset by lower employee costs due to the organizational downsizing in connection with the DuPont transaction of $891,000, cost reimbursements received from DuPont for services rendered in the transition services agreement of $155,000 and other reductions of $93,000. Research and development exposes for the year ended increased to approximately $886,000 compared to zero for the year ago period. The increase reflects personnel costs and service agreements with DuPont and VTT, Finland to support our ongoing biopharmaceutical and internally funded projects and other government and commercial projects. The company received the settlement payment from one of the defendant law firms Bilzin Sumberg Baena Price & Axelrod LLP in its professional liability ligation in the amount of $2.1 million net of legal fees and expenses. Interest income for the year ended increased to approximately $486,000 compared to $11,000 for the year ago period. The increase is principally related to the company's investment grade debt securities which are classified as held to maturity. We successfully completed our share buyback program on February 15, 2017. Since the program began on February 16, 2016 the company acquired approximately 7.9 million shares at a weighted average price per share of $1.58 for an aggregate purchase price of $12.5 million under the share buyback plan. In addition we acquired two separate large blocks of stock in January of 2016 and in January of 2017 where we acquired approximately 4.5 million shares of our common stock at an average price of $1.45 per share for an aggregate purchase price of $6.5 million. Combined to date we acquired approximately 12.4 million shares at an average weighted price per share of $1.54 for an aggregate purchase price of $19 million. We have approximately 28.7 million shares outstanding as of March 15, 2017. As of December 31, 2016 our cash per share, including the DuPont escrowed funds of approximately -- was approximately $1.79 per share. We anticipate that our cash position per share, including escrowed funds expected to receive on July 1 and the litigation settlement expected to be received in the second quarter to be in the range of $1.68 to $1.72 at the end of 2017. Now I'd like to turn the call back to our operator to take questions. Tom?
Operator: [Operator Instructions] And we'll take our first question from Barry Kitt with Pinnacle Fund.
Barry Kitt : Hello, Mark and Tom and Ronen, and rest of the team, I'm in an airport lounge and so I'm not going to be very efficient here. But Tom, could you kind of walk through these numbers with me, and make sure I get it right. So you had five zero spot 5 million in cash at the end of the year. And at 7.4 million from the DuPont July 1, 2017 payment coming about 57.9. I think what I see in the press release here, is you bought 3.7 million shares at $1.55 in the first quarter of this year; is that right?
Tom Dubinski: Yes.
Barry Kitt : Okay, so that's 5.735 million, so 57.9 million minus 5.735 million from buying back those shares should leave you at about $52.165 million not counting the settlement from the lawsuit and not counting whatever burn you had at the first quarter, does that make sense?
Tom Dubinski: Yes.
Barry Kitt : And how many shares did you say were outstanding? I thought I heard a different number from Mark than what I saw in the press release, maybe I just heard it wrong.
Tom Dubinski: 28.7 million.
Barry Kitt : That's right. Okay, so 52.165 divided by 28.7 is $1.82 a share; does that sound right so far?
Tom Dubinski: That's before burn and before the litigation receipt.
Barry Kitt : So I assume -- sorry, without knowing I'm going to assume it's a little higher now including the first quarter burn and including the settlement but so $1.82 a share, stocks at $1.36, so that's $0.46 difference times 28.7 million shares, that's about a negative $13.2 million enterprise value, does that math sound right?
Tom Dubinski: Yes.
Operator: And we'll take our next question from Walter Schenker with MAZ Partners.
Walter Schenker : Actually Barry could have been a set up for my question which is given the difference between the cash value and the stock this call did not address a continued share buyback which would clearly be extremely accretive since the spread between the share price and the cash value per share, again accepting the view that a mid seven figure settlement should be equal to your burn in the first quarter or more hopefully, so you didn't burn a mid seven figure amount in one quarter. Therefore why are we not seeing an announcement or could Mark if his view about it since we can continue to accrete material value by continuing to buy back stock especially at the current level. Thank you.
Mark Emalfarb: It's a good question, Walter and that's something that the board is considering on on implementing but we're also taking a breath and taking a look and evaluating our business plans, our research plan and as Tom pointed out what his expectations are for the cash to be at the end of the year. So we're evaluating that and we continue to evaluate that. But at the moment we do not have another plan in place and we may or may not in the future. We recognize the difference in share price and the negative value between the share price and the cash in the bank and we're continuing to monitor that but we don't expect the share price to stay where it is for a long.
Operator: And we’ll take your next question from Steven Rockville [ph].
Unidentified Analyst: Hi guys. Mark, maybe you can talk about -- you got the results from the Sanofi study, can you say anything about it? Can you share that with us?
Mark Emalfarb: Well we had the results from the Sanofi study, we were getting back -- we received a payment as I think we mentioned €306,000, we got the data to date is very encouraging, we're sharing the data under confidentiality with specific parties in the industry. We are planning on filing patents so we can't make that public until we do so and we're expanding on that data trying to get broader coverage so that we can get a broader patent or at least have a broader patent application going in. And unfortunately we love to be able to share the data and show people what we believe is very exciting and encouraging, at least preliminary data but until we file patents and protect the IP it's more important we do that than to enlighten our shareholders.
Unidentified Analyst: And is DuPont doing any studies at all with respect to the biotech part of C1?
Mark Emalfarb: Well they're obviously doing work on behalf of Dyadic which we're funding, so obviously their eyeballs are on top of what we're doing, that's positive and a negative and I don't know what they're doing internally, they don't share with us what they're doing for their own account. It is there or elsewhere. I can't answer that question, you’d have to ask DuPont that question in their conference call.
Unidentified Analyst: And what about the NIH, have you applied for any grants?
Mark Emalfarb: We have not applied for any grants at NIH but we actually have hired a consulting firm to evaluate where to apply not only potentially in NIH but a variety of other governments in the US as well as Europe and we're evaluating if when and how to do that. So our laser focus is on biopharma and our laser focus is on getting other people to help pay for our advancements in biopharma so that we can reduce or eliminate the burn.
Operator: We will take our next question from Robert Hoffman, Princeton OPportunity Management.
Robert Hoffman : Tom, I just want to walk through, I'll piggyback on some of the other discussions so, on the way I see it, pro forma you got a $1.82 per share and then you said that at the end of 2017 I think that's what you said -- at the end of 2017 you think you'd have a $1.68 to $1.72. Now if my math is correct, that's a burn -- a net burn of about call it $4 million, so that's -- so that it would be then net of whatever you got from your mid seven figure settlement. So in other words, if you're burning 4 but you're getting three or I don't know what you're getting in, that was kind of another question I'm not sure why we can't get that number today versus having to wait till the second quarter call. But can you just kind of walk through what the scheduled burn is for 2017?
Tom Dubinski: Yes, sure I want to correct a couple numbers. The first number we left 2016 at $1.79, not a $1.82 and my projections there --
Robert Hoffman : Well, no, wait, wait, you left 2016 at $1.79 but then you bought shares -- so pro forma you ended were at $1.82, not counting first quarter burn.
Tom Dubinski: Correct. The first quarter burn -- for the year we can talk about the calendarization of the burn, it's fairly level loaded but they'll be small because of the legal costs in connection with the litigation, it will be a little heavier burn in the first quarter. But for the most part the burn is pretty consistent throughout the year and it is higher than $4 million. And it will offset the benefits of the litigation settlement and that's factored into my $1.68 and $1.72 range.
Mark Emalfarb: And also Rob, you’re not taking into account in that as I mentioned that we are potentially going to invest $1 million of the cash and we also are going to be funding some additional research over 24 months of another $1 million, so that's another half a million per year for three fourths of the year this year. So that we can accelerate our programs and try to get data sooner to figure out a way to get the value out of this technology, where we have an overhead burn we want to speed things up a little bit where it makes sense.
Robert Hoffman : I just want to clarify that and that's -- so the $1 million of investment is in Tom's projections of where we stand cash wise -- as well as the burn from paying those guys whatever it is that turns out to be half a million or so somewhere thereabouts, right?
Mark Emalfarb: Yes.
Robert Hoffman : So in those projections -- while we're on that subject tell me what’s the difference between paying them and the equity investment, what could that equity be worth and how much of their business do you own?
Mark Emalfarb: Well, first of all we don't own anything, this is just something that we're in negotiations with and saying that that's something we've think we're going to do and we're in deep late stages negotiation with and that may or may not actually effectuate into that investment but we plan on at the moment doing. That's why we’re disclosing it. What that investment could be worth who knows, the skit is the limit or zero. But the fact of the matter is the $1 million investment is going to go to R&D targeted specifically to advancing C1, so we're sort of getting the equity as a kicker.
Robert Hoffman : You mean that the equity investment that you're giving over a million dollars is going to go towards C1 research.
Mark Emalfarb: Yes.
Robert Hoffman : So in other words you're getting all of that cash sort of speak of going into C1 research?
Mark Emalfarb: Yes, to advancing the platform, to improving the fermentation process optimization and specifically trying to identify one or more targets in animal health and biopharmaceutical products and then the equity piece is just sort of a kicker so to speak but we don't know what it's going to be worth and when it's going to be able to be valued.
Robert Hoffman : Where does one find experienced C1 scientists?
Mark Emalfarb: I'd rather not say but you can speculate that they've obviously worked on C1 in the past and other license agreements or business relationships.
Robert Hoffman : And are they -- did you say where they're located? Or can you --
Mark Emalfarb: No, we did not and we’re not going to it. But at some point we will.
Operator: We'll take our next question from Efren Fields [ph] with Accolade Capital.
Unidentified Analyst: Hi, I was just reviewing the 10-K briefly and it looks like the board paid itself close to a million dollars last year which I found to be originally high given the company size and the terrible performance of the company's stock price. So hopefully the board who is listening to this call and I would strongly encourage them to either aggressively buy back stock personally or I think that they should resign from the company and I really think that the company can find board members who will be able to do a better job of looking out to the company's shareholders at a much lower price than a million dollars a year. And that's all I have to say. Thank you.
Mark Emalfarb: Efren, I don't think the board paid themselves a million a year last year. So I think your numbers are off, number one. Number two, I can tell you that most board members are completely active much more involved, put enormous amount of time and effort into, the financial statements of litigation, the business development, so I don't know where you're getting the million dollar number, obviously a lot of the numbers you’re seeing here include non-cash stock option Black Scholes, so --
Unidentified Analyst: Mark, just because it’s non-cash doesn't mean it's not an expense for the shareholders.
Mark Emalfarb: I think you're off base and I don't get any cash as a board member and I'm just -- just think you're off base and believe me 25% of this money is mine, as you know as a shareholder and between me and the Kitt trust, so I can assure you that I watch over it but I can't get your comments to heart, the board obviously will hear this conversation and they will take it to heart as well.
Operator: And we'll take our next question from Richard Fried [ph].
Unidentified Analyst: Mark, two things. We're looking at $1.68 to $1.72 year end 2017 cash value. I am making the assumption that that does not include any potential revenue not previously stated in terms of contracts or collaborative research ventures. So potentially that number could be higher in some form or another.
Mark Emalfarb: That's absolutely correct. There are some projected revenues in there for, we expect as we mentioned or I mentioned that we expect to enter into a Q2 agreement with another top ten pharma company but no major number like major license agreement or a huge research funding is in there and obviously we're chasing those and we have an enormous amount of effort. And we have a lot of interest, so it depends how the data comes in and when the data comes in and of course the world is starting to find out that the biosimilars market is getting more competitive. And as some people think that's not attractive, for Dyadic it’s very attractive because we're not a sell me to technology, we are a change the game technology. So in fact if we can demonstrate the technology can deliver on its promise or even a fraction of its promise we hope some pharmaceutical company will take us out and we will all be happy and that's the goal.
Unidentified Analyst: And can I follow that up with, when in discussing reinstituting the stock buyback program your closing comment was that you don't expect the stock to be at this price much longer. As an investor, if that were the case, I am hard pressed to understand why one would reinstitute the stock buyback program immediately?
Mark Emalfarb: Number one, we don't anticipate payment or buy stock of any significance at this level. So last year we implemented the stock buyback program and gave a year for people that have been in the stock to get out of stock and create liquidity. And right now one of the things that we've had a problem with over the last decade because of the problems we had to overcome is dealing with a weak balance sheet and when we go into negotiation with big pharma we want to have a strong balance sheet and the value of that to us and never having to go back to Wall Street for a penny is a lot better than a 15% or 20% small amount of shares we can buy back right now. So our message is we have plenty of cash, we're going to keep a strong balance sheet, we're in discussions with a variety of companies and there's a lot of opportunities and we're going to exploit those at the fullest and we’re going to do it from a position of strength and weakness and we never want to go back to Wall Street.
Unidentified Analyst: I understand that and I don't disagree with that philosophy but you also said that you would evaluate the company going forward sometime towards the end of 2018. So if re-instituting a stock buyback is to a $5 million or $10 million amount doesn't seem like it would influence on your ultimate cash that you're expressing to people you’re negotiating with.
Mark Emalfarb: I think at the moment we’re taking a grasp -- we have plenty of opportunities, nobody has heard from us since last November, people have to assess where we are, what they want to do about it in terms of their own portfolios. And we will take a fresh look at it with new eyes as a new company focused on strictly bio pharmaceuticals, we are beating the doors down in every different place we can get to. We're creating a lot of interest and if we win we're going to win anyways, so we win other 5% or 10% or 3% is not going to matter but right now we're going to keep the cash where it is in the moment and we'll think about it as we continue on and we look at it every time we have a board meeting and in between, the board members that everyone is not so actively -- active are completely aware of everything at every given moment on a weekly basis.
Operator: We will take our next question from Richard Deutsch with National Securities.
Richard Deutsch : Yes thank you for taking my call. Some of the questioners have asked exactly the kind of questions I was looking at. So I'll jump to the point that I appreciate your giving us a cash per share projection based on your expected investments and cash flow through the end of the year and we all hope Mark after all the many years you've invested here that C1 finally does hit it somewhere along the line. But after all these years of not getting there what kind of assurances can you give us that there are limits that the board and you are looking at in terms of preserving that cash per share at a certain point in 2018 where we can count on even a lack of any progress still giving us a shell company with a significant amount of cash that can support the share price?
Mark Emalfarb: Rick, I will say a few things. First and foremost I think getting a $75 million deal with DuPont when the shares were $0.80, $0.90 a share and at an oil price of $35, the C1 did deliver on the industrial biotech sector relative to the market conditions at the time and I think it was a phenomenal deal for our shareholders. Second of all, as I mentioned it was 2018, early 2019 or sooner and I can tell you that this board and myself has no intention of wasting money and diluting shareholders interest because number one we are all shareholders. As you know I am the largest shareholder by magnitude times anyone else and I will be doing everything possible to make sure that the money we spend is advancing the technology to create value but in some point in that timeframe or sooner we'll come to a point where we're going to figure out how we all can get our cash out of this enterprise.
Richard Deutsch : Well that's what I wanted to hear is, that there were limits in both time and money that could protect us from the loss of this cash that you did build up in the last couple of years. Thank you very much.
Operator: We do have a follow up question from Robert Hoffman with Princeton Opportunity Management.
Robert Hoffman: Actually first is a request, is it possible for you guys to post Dr. Tchelet’s script -- it was very challenging to hear him because I'm sure he's off-site and he had a lot of information there and hard to write it down quickly. So if we could get that that would be really helpful. And the second, I will reiterate what others have said, I mean I look at it differently if we truly are sitting here at the end of this year with a $1.68 to $1.72 in cash what that will really mean is that we have gotten zero coming in and that should hopefully tell us something about the interest that is out there, which then leads me to my final real question which is, in the last conference call you talked about a deal that was paperwork had basically all been signed and you were waiting for the other party to sign. Can you tell us -- is this the small deal that we just -- that you just talked about and did the deal change or did that one flow through? You could just update us on that.
Mark Emalfarb: That's the deal we talked about, it didn't change, obviously they're putting their toes in the water. They're having us take a look at expressing three different antibodies and from that hopefully they will decide based on good data that we hope to achieve that they will put more money in, and or take a license and or some other alternative structure. And we are in discussion with many many many large pharma -- I think five of the top ten pharmaceutical companies to be honest with you we’re either under CDA and including CDAs and in some cases, NDAs and as I said we expect in Q2 to enter into another one of these research and development deals with somebody else that are going to put in some money and their toes in water to get a peek at what goes on. And I want to remind you that when DuPont did that, DuPont saw the results and they stepped up and wrote a $75 million check. Now C1 was more advanced in industrial biotech but people in the pharmaceutical industry have vision and we're just trying to steer the ship and help direct them into the right mindset that they realize that with time and money this is the platform of the future. And if we can do that we'll all be happy and if we can't do that we'll all cash out at some point and not burn a bunch of money.
Robert Hoffman: I appreciate that and obviously for those of us who've been shareholders for a long period of time, as you know I have been. That's why we're on this call and why we’re shareholders not because we want to get a cash discount sort of thing. So we definitely are looking forward to that. One final question, Mark, when you mentioned that the settlement with Greenberg Traurig you did the settlement because some of the -- I don't know the legal term, we're taking --
Mark Emalfarb: Let me give you a little clarity so that everybody can get some clarity on this issue. So basically we went after several hundred million dollars in lost opportunity and we had a damage model of lost market cap, I will start with that one first, the court threw that out saying that Florida law you had to be totally destroyed to have a lost market cap damage model and to them totally destroyed mean you had to file bankruptcy. So because Barry Kitt, myself and others put in $10 million to keep this place alive, basically the court threw it out versus, if we would have filed a bankruptcy when I got back we could have followed that model. Now we obviously don’t believe that totally destroyed means zero in bankruptcy that $5.20 a share, $5.30 share, $0.20 is totally destroyed but the judge and Greenberg argued otherwise and unless we wanted to appeal it and get into a big battle and spend a lot more time and money that went out the window and that happened sort of in the middle of the trial. The next thing that happened is that we had a biotech analyst present results that she believed taking one opportunity of a biopharma, one for biofuel and one for capital access that we were denied because of all of this, that we were chasing $700 million in lost opportunities, and unfortunately again the damage models in this country are based on lost profits, not on lost opportunities, we told the judge and the court argued the fact that we believe lost profits and lost business opportunities of which are basically to us lost profits because of course bringing in license deals revenue that we didn't get would have brought in profits, they held it to the letter of the law and the last day by the way before closing arguments a directed motion was brought for the third time Greenberg actually lost it twice before and was withheld and the judge threw that out and then we were facing potentially 20 some million dollars in damages that they weren’t allowed to go forward which are locked up by cash we outlaid for the lawsuits and things like that, and had them go a license we settled for not getting 10 million back in 2011 or 2009 or whenever that was, and so we had a choice. Go to the jury a day later after closing arguments and if we lost you guys would hung us because we would have paid about $15 million in court costs potentially to Greenburg Traurig and then when you had to chase $20 million rather than couple hundred million the risk reward ratio is kind of without a whack and we decided it's best to just cut our losses and get out, in fact we're going to end up ahead anyways but certainly not what we deserved and we feel that we were not treated equally and fairly and of course Greenberg pledged to the judge that they would be damaged irreparably even if they lost and the damage award was made public and it took it away from us that their damage to their company would have been the largest verdict against a law firm in U.S. history by a magnitude of multiple times, and the judge wasn’t unwilling to throw them under the bus which is what they did to us and that's what happened. So hopefully that clarifies what happened in this case.
Robert Hoffman: No, I appreciate that that's helpful because those of us didn't attend all, what we could get was a periodic newspaper article but for you to be liable for their costs that must mean that there was a settlement offer prior to the case starting?
Mark Emalfarb: That’s not -- it doesn’t mean that. It means that the offer was lower let's say than obviously their legal fees by magnitude. Anyways the bottom line is we're not happy, we feel that we were taken advantage of, we feel that the court should have looked at the modern world for biotech, high tech companies, R&D companies and lost business opportunities, you need to be able to have damages and be treated properly in a court not just lost profits because of course biotech companies and high tech companies spend years in R&D and make no profits. So it's a flawed legal system and we got caught in the net. And let's hope that somehow the changes for future companies so they are not off caught in the net and we can be at least the catalyst for change but in the meantime it's behind us, we're focused on making C1 make drugs quicker better and cheaper and if we can do that we will all be happy and if we can’t do that, we will all cash out and then move on.
Operator: We’ll go next to Skip Goshe with Clooney Road [ph].
Unidentified Analyst: So here's the net results, I mean there was a lot of good questions that were asked. And so the way that I see this is that you are saying that by the end of 2017 your cash share price is going to be between $1.68 and $1.72 after your cash burn by the end of 2017. So that's what you're going to have in cash, that's given nothing for the technology, that's given nothing for, if you take this through a couple of hurdles or one hurdle with another pharmaceutical company or multi pharmaceutical companies, that’s given nothing for that. And so if you take that into another year and you burn another six million to put you down another $0.10 or $0.15 a share, so the worst case scenario at the end of like you said in 2018 you're down to a dollar whatever sixty a share or fifty five a share in cash, and that's given nothing for anything else as everything else is bombed out, that's the worst case scenario and then you sell the company for that -- so as far as handicapping it, that's the way I see it. I'm not asking the whack, monthly whack but that’s based on you’ve given us $1.68 to $1.72 a share by the end of 2017 it's pretty easy to handicap. So I guess the point is -- of my phone call is to say first of all that you bought back hell of a lot of shares on route to -- I never thought that you guys in a year would buy 19 million shares.
Mark Emalfarb: Not 19 million shares, 12 million and some shares, $19 million.
Unidentified Analyst: $19 million or 12.4 million shares at $1.54 a share, I never thought that would happen at the time because your cash value was above that, your cash value was always last year pretty much 1.80, 1.85 or whatever, and so you bought it -- the point is that you bought it at a huge discount. And what Barry said and Barry didn’t say but he basically said, Okay, so you got whatever $1.85 a share after February 15, assuming you got whatever you got for the lawsuit nobody knows which you got but you're stating it's mid seven figures. So you're probably around $1.85 a share after your burn as of February 15 and that -- you also correlated, you said you’re going down after your burn rate you’re already [indiscernible] you will be seeing $1.68, $1.72 at the end of 2017. So the point is what -- your share price right now is probably $1.85 a share, somewhere, just in cash and that's given like I said nothing to anything else, and it’s trading at $1.33, so the net result is at least here you buy you’re making $0.50 a share, I don’t see -- and the strong with this selling, you want to be strong and -- but there is a point -- the first question I have here there's a point if you can make $0.50 on every share you buy and at the end of the year after your burn and you're still making $0.30 or $0.40 it's a no brainer, that’s a no brainer. Now the question is legally can you buy if you wanted to go buy tomorrow, from your company you buy. Can you buy a million shares tomorrow if you wanted to? I don't know, I like to know that answer.
Mark Emalfarb: Well by the way if somebody wants to come to us as a block shareholder, privately negotiated we would certainly entertain that.
Unidentified Analyst: Can you do it legally is my question?
Mark Emalfarb: Yes we can. We can.
Unidentified Analyst: How long can you do that for?
Mark Emalfarb: I think we can do it for as long as we like but that's not a share buyback program. That’s an individual transaction where that individual has to realize that we have insight knowledge, you don't have, I have to sign documents recognizing that point but if somebody wants to get out and we feel like spending the cash at the right price we will certainly entertain that and evaluate that. But I'd like to address the bigger issue is this is not about cash. Everyone wants to talk about cash. If we thought C1 had no value we’d just shut it down today but we obviously think that we can create value and significant value, we wouldn't be doing this. We’re not looking to do this to do at the end of 2018 beginning in 2019 somewhere in the middle 2018 to sell this for a 10% or 20% return on our money. We're doing this because we think by taking to find research objectives and goals that have been vetted by Dr Bose, by Ronen, by potential collaborators, by scientists that are in the know that we can demonstrate that if C1 can be brought along in the proper way and it might not even in 2018 be all the way there doesn't have to be, it's kind of like you're building a skyscraper and when you put in the foundation you have a certain value. Now when you know when you finish the skyscraper -- when you put up the walls and the windows it's worth more to somebody than it is just as a foundation and then when you build all your offices and lease it out it has even greater value. So as soon as we feel like we’re at inflection point that we're not going to get exponential value or it’s a failure that we think we've got a problem, we're going to obviously address that issue very quickly because of course that’s responsible thing to do and of course I own, between me and the Kitt about 25% of this, so I'm watching your money like it's my money because it’s both of our money but more importantly it's not about the cash, it's about the technology. And if we didn’t believe in the technology we wouldn't be here any longer because it’s been a long battle and quite frankly I don't need to be here unless they can create great value, it makes no sense.
Unidentified Analyst: So I like that analogy that you said that is well put, understanding it from a perspective of something that’s concrete, so what you’re saying is you got all your zoning approved, you got your building permit, you got your slab port, and you are ready to put up a skyscraper in the middle of a good market and all of a sudden you abandon the project you're not going to get that much far. If you finish the project you're going to get a pretty good reward, is basically the analogy that you gave me. And I understand that and I get that. That's all I wanted to know. Thanks.
Operator: We’ll go next to Barry Kitt, Pinnacle Fund. I'm sorry Robert Hofmann, Princeton Opportunity Management.
Robert Hofmann: There were more quick questions on the experienced C1 scientists. When this arrangement kicks in or if it kicks in, are they working a hundred percent on C1?
Mark Emalfarb: That answer is no, not in the research groups, DuPont -- the groups we started in September are specifically only working on C1 but specific scientists within their business unit or --
Robert Hofmann: I am talking about the guys -- you’re putting a million dollars of equity in.
Mark Emalfarb: No, they're not only working on C1, no. But I think to your point there's a variety of people in the world that have the skill set that we need and it’s a very limited universe and we zeroed in on the people that we believe can move the ball down the court and do it faster with greater probabilities. And to be honest with you not having our own lab in Holland and having forty people to get busy and just having a certain amount of people to focus in, including the people in Holland, including the people as a research lab and including the new people they are all going to be doing things that we believe will create value or we won’t be doing them at that location for long and there's other reasons we may or may not stay in some of these places that have nothing to do with the science or the scientists but dealing with IP or other issues it will work -- we're always considering. So we're very flexible, we’re like a speedboat in the ocean, not in oil tanker and we're staring at speedboat to get to the Bahamas the fastest possible but without capsizing.
Operator: We will take your next question Barry Kitt, Pinnacle Fund.
Barry Kitt: Can you hear me first of all? I'm in a closet of an airline club because it’s noisy, to make sure you can hear me. Okay, a few of the things first of all, I understand it's time to take a breath and ten years of legal efforts are now gone and behind us and now we can focus on C1. So first let me just say on the buyback, one quick thing on the buyback. So you need to have a buyback in place because if there is a macro shock or a terrorist event or something crazy like that happens, it costs you nothing to have a buyback in place, if you want to buy stock don't buy stock we put in place, I mean that's responsible thing to do, you don't know what might happen, some fund gets put in a business and you’re selling stock at $1.10, I mean it's just crazy not to have in place, it costs you nothing. That’s first. Second of all, definition of crazy and doing the same thing over and over again and expecting a different outcome, the stock is it way under cash all last year all this year and so you're expecting it to do better because maybe you might have some great thing to announce and finally somebody pays attention but the problem is nobody is paying attention. You're not -- yet what you need to do is you need to reverse split your stock, we need to uplift the stock so that you can hopefully then talk a different kind of analyst or on an analyst of any kind somebody who's briefing to write research in the company which will help get more eyeballs to look at the stock because then you'll be visible and then possibly people might pay attention that this company exists which will help you get more business, help you get more people that's more pharmas that might want to do business with you. So we'll see if I have anything else.
Mark Emalfarb: Let me address your first question on the share buyback program. If we put a program in place to take advantage of the functionality of our stock price and we put a very low price on what we're willing to pay, it's not going to do much because we can't put a number on it with a wide range because then we're paying more money than we really would like to pay. Okay, so we can't just go out and throw out a number and put in a low number and as a let's say to take advantage if you put in $1.30, $1.10 whatever you want to throw in to take advantage of your range. In the past what we did last year is we gave a range as a lot of people to get a reasonable exit, that's what they wanted to do. And so we thought about that but we don't want to take advantage of people but we can't just decide that date to buy or no buy, we put a program in place, we're not in control of it any longer. So we’d have to put such a low number in, we feel that it's really probably not the right thing to do but we’d try and it won't be effective but yes if the world falls apart and somebody don't, feel free to grab it and that’s fine but that's not what people really want. But we’ll consider that.
Barry Kitt: Mark, I don't know where your counsel is stemming from but that makes no sense at all. You put a buyback in place, you won’t have to have a range, do you know how many companies have buybacks in place and decide not to buy any stock at all? You need to talk to your counsel and just get a different counsel, someone selling you have to create -- put a price ahead of time as to where you’re going to buy stock or that is incorrect. So let’s debate that point right, let’s go into the next point.
Mark Emalfarb: Your next point is to have us uplift reverse stock, have six million shares of stock at the most in a free float because that's what it would be today if we had to do a three to one which is what we would have to do at a minimum, to get to the minimum NASDAQ price range which we would meet.
Barry Kitt: Hang on, that would be almost ten million shares if you did a one to three.
Mark Emalfarb: No, because it's the --
Barry Kitt: 28.7 million shares --
Mark Emalfarb: But you’d have to take my shares 25% of them out --
Tom Dubinski: Yes, 10% beneficial when it comes out, Barry.
Barry Kitt: No, that’s okay. If it’s 6 million shares on a float, who cares, we will get eyeballs, we will get research. I'll get you research, I'll find you somebody who are right but nobody are right now.
Mark Emalfarb: You know that the board is listening to this call or they will be and they'll be advised and we've had these discussions and believe me this has been a debate back and forth and thought about in detail by the board. And what we said is we didn't say we're not going to do it, we said we'd like to actually have something to talk to analysts about which would be data and or business deals and or license deals and science to advance. So we said somewhere in the second half of the year we would look at doing that based on where the science got to and what data we had and what deals for example if we signed a deal in second quarter with another big pharma company would be helpful, because now there would be two people sort of in the door.
Tom Dubinski: Barry, it’s all about the science. Once we have a proof of concept we won’t even be having this conversation because the shares will reflect a value -- value placed on the technology because we have data to support it, it’s not -we're beyond the proof of concept mode.
Barry Kitt: I understand that. Let me ask you this, you spoke about the Sanofi data as something you're going to file patents on which would insinuate that there must have been something good there through the filed patent on, so let's assume that's the case. You're going to file a patent on that, how long will that take, when would that process be completed?
Mark Emalfarb: We're waiting for data to make it broader, so to give you an example, we have other antigens that people are going to be looking at immunogenicity -- and seeing immunogenicity is better, the same, worse, and so once we get that data we'll have a) a better look and somewhere I would say in the next three to four months we hope to get some of that data and be able to share that data in a patent application that allows us to make it broader than just specifically one anti, one vaccine.
Barry Kitt: So while I was going to go with that, assuming there is value, assuming you file the patent, then you will have something to show analysts and the Street because you will be able to talk about whatever that information is you've got from Sanofi?
Mark Emalfarb: And that would be the second half of the year and -- by the way that’s not the only -- we hope to have better, higher yield expression, even though we've done a good job with, for example, as Ronen pointed out, Lucentis we need to improve the yield and productivity of that so that we can show a monumental difference. The pharmaceutical companies, as they're not going to switch from a CHO cell production system they've used for thirty years from marginal improvements. We are going to have to move the needle, C1 has the potential to move the needle. We need more data, we just got started, we haven’t been even doing this for a year and we haven't even had our full attention on it for a year but we're very happy with where we are and we're very content but we're pushing and they pedal to the medal every day.
Barry Kitt: Yes. I've known you for thirty years or more and I understand how you work, I know you're working hard but there was a $13.2 million enterprise value right now and based on the midpoint of your $1.68 to $1.72 in cash at the end of this year you're a negative $9.75 million enterprise value based on the cash you have and the expectations you have for this year assuming nothing major good happens, and that's just crazy for us to be in this situation after this length of time. So again I would ask the board to do the reverse split uplift at some point throughout this year and let's not have another year go by and not do that because it's easy not to for some reason.
Mark Emalfarb: And we take your advice to heart and we absolutely talked about -- at the last board meeting we talked about it three times in between board meetings and I'm sure they are all listening at some point either on the phone now or will be listening to this call or reading it. End of Q&A
Operator: And at this time there are no further questions in the queue. Mr Emalfarb, I will turn the call back over to you for closing remarks.
Mark Emalfarb: I don't know what else I could close with. Let me find my script here at the end on the last page. Anyways we're very excited about the potential research and development opportunities in the pipeline. We believe 2017 will be one of our most important years for the advancement of C1 technology and Dyadic to grow in the pharmaceutical sector. I'd like to take this opportunity to thank our very hardworking employees and consultants and our dedicated board of directors, our research partners and our shareholders most of all for their support and thank you all for having taken the time to participate on today's conference call.
Operator: And this concludes today's program. You may now all disconnect.